Operator: Good day, everyone, and welcome to the PAA and PAGP Fourth Quarter and Full Year 2020 Earnings Call. Today's conference is being recorded.
Roy Lamoreaux: Thank you, Tilara. Good afternoon, and welcome to Plains All American's fourth quarter and full year 2020 earnings conference call. Today's slide presentation, which contains a good deal of supplementary information is posted on the Investor Relations News and Events section of our website at plainsallamerican.com, where audio replay will also be available following our call today. Later this evening, we plan to post our earnings package to the Investor kit section of our IR website, which will include today's transcript and other reference materials. Important disclosures regarding forward-looking statements and non-GAAP financial measures are provided on Slide 2 of today's presentation. A condensed consolidated balance sheet for PAGP and other reference materials are located in the appendix.  Today's call will be hosted by Willie Chiang, Chairman and Chief Executive Officer; and Al Swanson, Executive Vice President and Chief Financial Officer. Additionally, Harry Pefanis, President and Chief Commercial Officer; Chris Chandler, Executive Vice President and Chief Operating Officer; Jeremy Goebel, Executive Vice President Commercial; and Chris Herbold, Senior Vice President and Chief Accounting Officer, along with other members of our senior management team are available for the Q&A portion of today's call. With that, I will now turn the call over to Willie.
Willie Chiang: Thank you, Roy. Hello, everyone, and thank you for joining us. This afternoon, we reported fourth quarter and full year 2020 results, each of which were largely in line with our expectations. We also furnished full year guidance for 2021. Al will discuss the results and guidance in more detail during his portion of the call. So let me start off with a few comments on the progress we made in 2020 and our positioning going forward. As we all appreciate, the challenges in 2020 were very significant. I'm thankful for and very proud of our team, who've demonstrated strength and resilience and work to overcome obstacles and focused on what we could control. As a result, we accelerated several key initiatives, 2 which I want to highlight. First, we have fully embraced our company-wide transition to efficiency mode, focusing on streamlining the organization, reducing costs, and working to optimize all aspects of our business. Second, we have positioned ourselves to generate meaningful positive free cash flow after distributions. We implemented actions that improved our 2020 positioning by roughly $1 billion and expect to have strong positive free cash flow after distributions in 2021 and beyond. The collective result of these activities allowed us to activate a balanced equity repurchase program that aligns with our priorities of reducing leverage, improving our investment-grade credit metrics and returning capital to equity holders.
Al Swanson: Thanks, Willie. During my portion of the call, I will review our fourth quarter and full year results, review our current capitalization, liquidity and leverage metrics and provide additional color with respect to our outlook for 2021. As shown on Slide 7, fourth quarter fee-based adjusted EBITDA of $555 million was slightly above our expectations. Transportation segment results were in line with our expectations, but decreased compared to third quarter 2020, driven primarily by MVC deficiencies billed and collected in the third quarter related to volume deficiencies from the second and third quarters. Facility segment results exceeded our expectations, primarily due to higher-than-expected activity and revenues at our Cushing terminal and certain other facilities, and were in line with third quarter 2020, effectively offsetting the impact of asset sales completed late in the year.  Fourth quarter Supply and Logistics results of $4 million were below expectations and primarily driven by the impact of warmer seasonal temperatures on our NGL sales activities and less favorable margins on Canadian crude oil activities. Moving to our capitalization and liquidity, a summary of key metrics is provided on Slide 8. Our long-term debt to adjusted EBITDA ratio is 3.7 times, which is above our target range of 3 times to 3.5 times, and reinforces the rationale for debt reduction to remain a top priority within our capital allocation framework. Additionally, we exited the year with total committed liquidity of $2.2 billion, and we do not expect to access the capital markets for the foreseeable future. Let me share some additional comments on our 2021 guidance, which is summarized on Slide 9. Our fee-based adjusted EBITDA guidance of plus or minus $2.1 billion reflects a 2% decrease relative to the preliminary guidance we shared in November and incorporates the anticipated impact of a $150 million increase to our 2021 asset sales target, an additional reduction in our investment capital program and refined expectations based on our current outlook for 2021. Additional segment level discussion is provided on this slide, which recaps notable variances to our 2020 results.  With respect to gour S&L guidance, this highlights our expectation for the continuation of challenging market conditions to limit margin-based opportunities in the future. As Willie noted, we forecast free cash flow after distributions, including targeted asset sales proceeds to be more than $1 billion, slightly above our November estimate due to the increasing of our 2021 asset sales target by $150 million to a total of $750 million. Our top priority continues to be maximizing free cash flow after distributions and allocating capital in a balanced and disciplined manner with the intent to reduce debt and prudently return cash to equity holders over time. We remain focused on disciplined capital management and with the prerequisite of high-return must-do, no regrets for every incremental dollar invested.
Willie Chiang: Thank you, Al. Our goals for 2021 are outlined on Slide 11. We remain very focused on the long-term positioning of our business, which is built upon our continuous diligence of operating safely, reliably and responsibly; generating meaningful multiyear free cash flow after distributions; strengthening our balance sheet and financial flexibility while prudently returning cash to equity holders; and continuing to advance our sustainability program and disclosures. We believe hydrocarbons will remain a key part of the energy equation going forward and we believe in the innovation of our industry, our PAA team and the flexibility of our assets to meet the evolving energy landscape. Energy infrastructure is and will remain the critical link between energy supply and demand and we believe in the long-term sustainability of our assets, operations and cash flow. Thank you for your interest and support of Plains. We look forward to providing you with more additional updates on our continued progress.  With that, I'll turn the call over to Roy, who will lead us into Q&A.
Roy Lamoreaux: Thanks, Willie. I'd mention that a recap of today's call is located on Slide 12. As we enter the Q&A session, please limit yourself to one question and one follow up question and then return to the queue if you have additional follow-ups. This will allow us to address the top questions from as many participants as practical in our available time this evening. Additionally, our Investor Relations team plans to be available throughout the week to address additional questions. We're now ready to open the call to questions. 
Operator:  We'll move first to Jeremy Tonet with JPMorgan.
Jeremy Tonet: Just wanted to dig in a little bit more, if I could, on the fee-based guidance for '21 coming down a little bit here. Appreciate a portion of it probably is coming from a bit more asset sales, but still seems like that's not the full bridge there. And if I think about when you guys gave guidance last quarter, if anything, the environment has probably somewhat improved with WTI moving up the way that it has and maybe at the margin producer is expecting a little bit more production. Granted that wouldn't materialize until later in the year, but I guess we were just thinking there could be more upward bias than downward bias to the guidance here. So just wondering if there's any other moving pieces we should be thinking about?
Willie Chiang: Al, why don't you take that?
Al Swanson: Yes. I'll take a shot at that, Jeremy. Asset sales are clearly a part of it as well as our CapEx reduction and some of the optimization around the CapEx program coming down as well as just differentials out of the Permian make movements, both North to Cushing and to the  challenges. So we've dialed that into our thinking, as well as just activity through some of our facilities and utilization of some of our facilities on the crude and the NGL side.
Jeremy Goebel: Jeremy, this is Jeremy Goebel. One thing to add, there's a significant component there. As Al mentioned, optimization of capital. We've worked on eliminating additional capital by descoping projects, and that's a significant component on the pipeline side. But that's really deferred revenue and not lost revenue opportunity. So we worked on those components. That's the biggest driver in the capital reduction and also revenue from a net free cash flow basis, you're neutral to positive. And longer term, we haven't lost the revenue-generating opportunity.
Willie Chiang: And Jeremy, one more thing that I'll ask Jeremy Goebel to comment on, our premise for the Permian really, even though in the higher price environment, our belief is that there's going to be more discipline from the producers in bringing free cash back to their shareholders or taking debt down. So our forecast is really a modest growth of production, flat to modest growth in the Permian, probably not to the extent of what the flat price infers based on history.
Jeremy Goebel: That's correct. This is Jeremy again. For 2021, our view -- and Jeremy usually asks this question second, so I'm just going to preemptively answer it. It's modest growth of 100,000, 200,000 barrels a day this year, larger public companies sticking to 60% to 75% of recycle ratio reinvestment, and that's trended down as prices have run up. We really haven't seen the material increases in rates to drive additional production growth. This will ultimately lead to the upstream companies being in a much healthier position going into 2022, if prices stay where they are. It likely leads to more moderated growth in pre-pandemic levels, but it could lead to more ratable growth and more predictable growth. Everyone on the production side is being cautious with respect to adding incremental production until demand returns and then the OPEC barrels come back to market. So once you see those two things happen, I think you'll see a more constructive environment for activity, you'll have healthier balance sheets.  The smaller E&Ps and some of the under-levered private guys are getting out in front of this, but not enough to make a material impact to 2021. And this is largely around the Permian. Rest of basins, we have largely flat to slightly declining, even with the higher spot prices. So while that may deem conservative, if you think about any rig additions now are impacting 6 to 9 months out of production, anything that's happening in this front period is really impacting the second half or the latter part of the year. So very constructive going into 2022, but we're, for obvious reasons, being cautious until demand and OPEC barrels get back to market, to more moderated levels.
Jeremy Tonet: And maybe kind of just shifting gears a bit here. With the move in propane, as we've seen it, we were thinking there could be more kind of upside bias to S&L here, but it didn't look like there was much showed up this quarter, not to be expected, but even in the first quarter, it doesn't look like necessarily it's making a big impact there. And just wanted to get to the core of the NGL business and is that something that you guys still think of as a core business? Or is that something that maybe someone else could derive more value from, just as you think about coring up your business, getting -- paying down debt and increasing returns to shareholders over time?
Willie Chiang: Jeremy?
Jeremy Goebel: Jeremy, this is Jeremy again. Warmer weather persisted through the fourth quarter and even January. It's not just into the last couple of weeks, where you saw the markets we sell into are largely the Midwest and the Northeast. So as those inventories drop, basis improve, we'll capture more opportunities. But some of that could be pushing into later in the year as the cold has just started. So the more persistent this is, the cold weather and more likely you'll see draws to more normalized propane in those regions and could just push the opportunity out until later in the year. But we're certainly paying attention to it. It is a core business. It's a large business for us, and we're going to continue to optimize around it. Yes, there were some large backwardation, but that was largely driven by Gulf Coast pulls and not necessarily pulls in the Northeast.
Harry Pefanis: This is Harry. I'd also add. What you saw last year, especially with the inventories in Canada was when you got into that market in sort of the spring of last year, April, May, even in early summer, June, decreased demand, inventories as well in Canada, we actually ended the year with higher than normal inventories in Canada. So that also impacts the margins to generate out of that business. And we have seen a run-up in NGL prices into this year. But also keep in mind, we treated a little bit like a manufacturing business, and we do hedge. So we don't sit there and just take spot prices all day long. So you have to factor that into your thinking, too, just because near-term prices pop doesn't mean that we are exposed. Likewise, if they decline, we typically have production against it.
Operator: Next we'll move to Shneur Gershuni with UBS.
Shneur Gershuni: Just wondering if we can revisit the guidance responses to Jeremy's questions. The acceleration, if I understand, if you can sort of square this for me a little bit, is partially due to asset sales. You also said that there's going to be less capital and mentioned optimization as part of it. But I mean the CapEx is only down about $80 million, if I read it correctly, in your slides. I was wondering if you can expand on a little bit, are you saying that you're more conservative than you were in November? I'm just trying to understand, like if you can get into a little bit more detail about what's changed? And then secondly, given the S&L is going to be a lot lower than last year, is there going to be a working capital release that comes with that?
Willie Chiang: Yes, Shneur, this is Willie. Let me start and others can jump in. I mean, one of the things I want to make sure people realize, when we talk about where we're embracing efficiency mode, maximum cash flow, that is exactly what we're doing. We're trying to figure out how do we maximize cash flow in everything we do. And one example that Jeremy Goebel gave was as we think about CapEx and commitments on volumes to it, we ended up -- we were able to save some CapEx on a piece of work and not spend it in exchange for an NPV neutral, pushing some cash flow out. So it's things like that, that are driving the reduced CapEx. And it's frankly a better resolution on talking with producers and getting arms around what we think we expect to happen. Anyone else want to add to that?
Jeremy Goebel: I guess your question was on -- the second part of your question was around working capital release with less S&L. I think -- this is Jeremy Goebel. I think that will happen throughout the year as the markets moved into backwardation. At some point, we'll opportunistically take positions off, and that would allow for a release of the short-term debt or working capital. We're being opportunistic around it.
Shneur Gershuni: Okay, great. And as a follow-up question, in your appendix in today's slides, you've got an investor FAQ, you specifically addressed federal lands. I was just wondering if you can expand on the federal lands exposure? I think during the last call, you had said it was about 20%, but it's not listed on the slide here. I was wondering if you can sort of talk to what you think your exposure is if the current drilling pause or permit pause last for more than a couple of years?
Willie Chiang: Jeremy, do you want to take that?
Jeremy Goebel: Yes. This is -- Shneur, this is Jeremy Goebel. The -- I would say, one, we're in a wait and see mode. I think from a producer standpoint, consistent with other commentary in other calls, is the expectation is that producers at some point will be able to develop the leases that they have. No new leases seems like a probable opportunity. We need clarity on the land and right-of-way on multiple fronts. Will it potentially take longer time to get permits? That's definitely possible. But I don't think people have given up on New Mexico at this point. I think there's a lot of opportunity around it. Will that impact us? Sure, would reduce capital as well as potential impact on production, but still that 15% to 20% number from a total dedication. But a lot of the producers that we have in New Mexico also have inventory in Texas. That's very much with higher gas prices and higher crude prices as well in the money. So I don't know that it's an absolute loss and it's -- we don't get in New Mexico, but we don't get it at all. So I'd say there's probably a pivot to more state land in Texas. And a lot of the same producers we have in New Mexico have significant inventory that would be well in the money on the Texas side. So I don't think you can just say Plains is going to lose 15% to 20%. You have to look at the whole picture. And so I'd say it's not -- what's lost in New Mexico is not a total loss to Plains, is one way to look at it.
Operator: We'll move to Michael Blum with Wells Fargo.
Michael Blum: I guess first question I wanted to ask was around the decision to continue to allocate some of the excess cash flow to buybacks, I guess, just given the reduction in EBITDA guidance and some -- perhaps some of the pressure that will put on the balance sheet. Why not just use all your free cash flow to reduce leverage this year and wait for a bit of a rebound?
Willie Chiang: I'll make a comment, and Al, I think can jump in and add to it. One of the big things that -- I'm glad you brought up free cash flow because that's clearly when we think about EBITDA, it only translates into cash -- free cash flow. So when you think about the asset sales that we got this year, Michael, it's a pretty significant chunk of capital allocation, which we think we can really take that balanced approach to both the equity holders and continue to reduce debt. Al?
Al Swanson: Yes. And Michael, as we mentioned in the commentary, our primary focus will be to debt reduction, 75% or more, again, with the vast majority of what we expect in our guidance, upcoming from asset sales, we're going to recognize that we're probably going to have to allocate more against debt reduction in this year. And so, we're very much focused on that, but we also want to be able to support our equity as well. And so, again, leverage, valuation of our shares as we go throughout the year, outlook of the business, what oil prices are doing, what producer activities are, although they'll get dialed in, there is no just prescribed formula or approach. So we're going to try to balance all of that. But again, just to be clear, our focus will be to reduce debt and make sure we manage our leverage, but we also want to support our equity.
Michael Blum: Great. I appreciate that. My second question is just on the increase in the asset sale target. Is that just -- I'm sure you don't want to tell anyone here what assets you're considering. But should we assume that you have now contemplated selling additional assets, and it's not that you think you're going to get better pricing on the existing asset sales you were targeting?
Willie Chiang: I would tell you, Michael, it's confidence in being able to -- increased confidence in being able to execute what we had considered. And I'd leave it at that at this point.
Operator: Next, we'll move to Keith Stanley with Wolfe Research.
Keith Stanley: First, I wanted to follow-up on the last question on the asset sales. So can you just give more color on, I guess, the amount of progress you've made to date, where you are in the process? It's just -- it's a big dollar target. Should we think you're in active discussions now? Is it still mainly identified assets? And thoughts on timing for executing that throughout the year?
Willie Chiang: Jeremy?
Jeremy Goebel: This is Jeremy. I'd say year-to-date, we've closed $20 million in asset sales, which those assets generated close to $2 million annually of EBITDA. The rest are in various stages, whether it's in big grounds kicking off the process, but all sale processes are underway. So that should give you a sense for timing. So there's nothing that we haven't began marketing yet, because it's all things that are actively in the market and in discussions with counterparties.
Keith Stanley: Okay, great. A follow-up question, a separate one. Can you just give an update on where you are in the permitting process for the Diamond expansion project? Are there any key permits you still need for that one? I'm not sure if you've broken ground yet, just an update on the process and time line?
Willie Chiang: Keith, I'll let Chris Chandler handle that one.
Chris Chandler: Keith, this is Chris Chandler. So we've secured all of the environmental permits that we need for the Diamond expansion project, and those are federal, state and local permits, everything that's needed to begin construction there. All long lead equipment and pipe has been ordered. We've secured 95% of the right-of-way. We're targeting to begin construction in the second quarter of this year and still are targeting to have the line in service by the end of the year. I will note that we're taking some time to continue our engagement in the community. We've met with elected officials. We’ve met with local businesses and community leaders all along the route. And ultimately, we're looking forward to safely and responsibly building and operating a pipeline that will be a long-term benefit to the region.
Operator: Next, we'll move on to Colton Bean with Tudor, Pickering, Holt & Co.
Colton Bean: So just a follow-up on the discussion around Q1 EBITDA guidance, looks like it's just shy of $500 million. Can you frame to what degree the step down is driven by the fee-based business versus potentially a negative result in S&L? And then I guess as a follow-on, Q1 traditionally a seasonally stronger quarter due to NGL marketing margins. So what factors should we be watching to drive that ramp back to hit the full year guide in the other quarters?
Willie Chiang: Al?
Al Swanson: Yes. I'll take a shot at it. It's a large piece of it is related to the fee-based. We aren't necessarily assuming a strong S&L quarter as well. But there's a number of things that add the differentials in the market for moving barrels out of the Permian, whether it's to Cushing or to the . We've modeled some impacts relative to refinery turnarounds. Again, we've had -- on our gathering systems, we have some producer forecasts that have been revised down for first quarter, not necessarily an impact for the whole year. Some of the terminals, some of the utilization and throughput, where we've seen positive impacts this year, we're not necessarily forecasting that those continue. MVC timing on pipes have a bit of it as well, as well as just some natural timing on operating expenses. So no one particular item, but the large piece of it is a result of the 2 fee-based segments.
Colton Bean: Got it. And then just to follow-up on Jeremy's comments around producers potentially reallocating from New Mexico to Texas, if federal permits aren't forthcoming. Is there a material variance in infrastructure positioning between the 2 regions of the basin, thinking in terms of potential CapEx impacts if producers were to shift their longer-term allocation plans?
Jeremy Goebel: This is Jeremy. Realistically, in New Mexico, we do more of the wellhead gathering. In Texas, a lot of our position is around central gathering. And so those positions are -- on the Midland side, there are some wellhead connects, but for the vast majority of our Texas position, it's behind existing batteries and positions. So it couldn't yield lower CapEx outlays in Texas, but all in all, tariffs are somewhat similar between the 2 regions.
Operator: Next, we'll move to Jean Ann Salisbury with Bernstein.
Jean Ann Salisbury: Your segment EBITDA for facilities next year is guided to $0.42 per barrel, which is lower than it's been in a few years. Is that -- I see on Slide 9 that you talk about this lower utilization at NGL and crude storage facilities. Could you talk a little bit more about what's driving that? And if it's structurally going to be lower?
Jeremy Goebel: Jean Ann, this is Jeremy Goebel. Part of this is driven by market structure. If you look at the steep contango and see backwardation in the NGL side and the crude side, it's just less opportunity to store. So I think part of that is driven there. But from a structural standpoint, that you get to seasonal norms and NGLs, winter -- summer, winter spreads, you can see some of that come back. But ultimately, we're just looking at the current market structure and making an assessment. And right now, you're at pretty steep backwardation.
Willie Chiang: What happens is some of the facilities aren't as fully utilized because of backwardation.
Jeremy Goebel: It could be from crude or it could be pure storage, yes.
Al Swanson: And the other point -- this is Al and I would throw in on just -- you mentioned the per unit. Some of the asset sales have impacted the business mix there as well, like the LA terminals as an example that we divested here in 2020 in the fourth quarter and some of what we anticipate change that business mix a little bit on a per unit basis.
Jean Ann Salisbury: Just to follow-up on that, I thought that most of your crude storage was like, as you call it, operational and didn't move too much between contango and backwardation. So is this just kind of on the margins, what does move even though most of it is operational?
Jeremy Goebel: Jean Ann, this is Jeremy. On the NGL side, it's more exposure to the seasonal spreads. There's lower contracting on the crude side for our large facilities that Parsley contracted. There is some operational stories we can contract opportunistically when you're in steep contango like last year. So we can flex and make more available. So last year, with a steep contango, we were able to flex into more -- but the large facilities that are contracted that business mix hasn't changed. It was more opportunistic on the crude side from last year. And then on the NGL side, the seasonal spreads start there right now.
Jean Ann Salisbury: Got it. That's really helpful. And then just as a very quick follow-up, if DAPL does end up having to shut down, what's the availability of your Bakken rail terminal to start loading ASAP?
Jeremy Goebel: Jean Ann, this is Jeremy again. I would view that as a secondary impact relative to the other exposures we have, right? If you look at our Wascana and Bakken North assets that should move barrels out of the Williston, if you look at our past peak from Guernsey South that connects into the pipeline to Cushing from Platteville, those would be substantially larger impacts, and that's readily available now.
Al Swanson: But we could -- we will be able to rail too.
Jeremy Goebel: Yes, if you will. But I think the impact would be substantially larger on the pipeline side.
Willie Chiang: And Jean Ann, this is Willie. One comment I would make is, clearly, what we all seek is regulatory certainty when you have permits, and so that -- we're watching this very carefully. But as Jeremy talked about, we do have a flexible system. And as we have in all of our regions, if there are disruptions, we are -- we should be able to adapt and adjust to be able to capture; one, get barrels to market and capture some value there.
Operator: We'll move next to Michael Lapides with Goldman Sachs.
Michael Lapides: I hate to beat the dead horse here on guidance, but I'm going to try to be pretty specific. I don't know if you all can. How much higher would the EBITDA guidance has been if you weren't forecasting the $750 million of asset sales? How much do those asset sales, the ones you've not completed, impacts what guidance would have been?
Willie Chiang: I'm not sure we can comment on that, Michael. I mean, you could apply just a round number of multiple to it to get an order of magnitude, but I don't think we're ready to disclose that.
Michael Lapides: But you might be somewhere between the -- I guess somewhere in the 7 times to 10 times directionally. I'm not going to be terribly far.
Jeremy Goebel: Michael, this is Jeremy. I just don't want to disclose anything that could impact valuation of the current processes. Please understand those are confidential, and we don't want to guide in any way on the asset sales and the potential impact. So I hope you can appreciate that.
Willie Chiang: This may help a little bit as well. When we -- everything we've been talking about as far as guidance, I mean, in November, we were $50 million higher on what we thought our preliminary guidance for transport -- or for the fee-based was. Where we sit today, with the disclosure that we've shared on, flat, slightly up, I would tell you that it's a fairly measured approach. When I think about where we are right now, sometimes you read the headlines, and it seems like everything is fixed, there remains a lot of uncertainty going forward. And so the measured approach to where we think things are going, I think, is actually prudent. And anything that we look at, a lot of it is going to happen later in the year, as Jeremy Goebel mentioned.  So I don't -- I just want to make sure I qualify that as people think about where we are on how we're thinking about the year. It is a measured approach with certainly less impact in the first part of the year. If there is upside, it's probably going to be in the back half of the year. Hopefully, that helps.
Michael Lapides: No, super helpful. And then one follow-up. Just curious, how are you guys thinking about the Canada business and how it fits in strategically to the broader portfolio?
Willie Chiang: Jeremy?
Jeremy Goebel: This is Jeremy. So, the Canadian business, we spent the better part of the last year integrating that system from an executive side, all the way through to operations, and we continue to see more opportunities to optimize around that business and further integrate into the U.S. business. I think we're really excited about those opportunities and view that as a core asset and a business that we've been working around to better understand and more commercially align with how we operate and manage here in the United States. So, I think that integration process is underway, and we look forward to continuing to work with as a group to get there.
Operator: Next, we'll move to Ujjwal Pradhan with Bank of America.
Ujjwal Pradhan: Thanks for taking my question. I appreciate the color so far on guidance. Just wanted to go back on some of the comments you made around the CapEx coming from rationalization, while keeping the cash flow NPV neutral. Are you able to comment where you made the CapEx reductions in that particular regard? And whether this could limit Plains' operating leverage if we see stronger recovery end growth than you are anticipating?
Willie Chiang: Yes. Ujjwal, this is Willie. We don't want to share the specifics of any one contract, but you did bring up operating leverage. I will tell you, again, as you go into this, our mission was to stay ahead of the production side. And so when you think about our system, I know I've shared this before with folks, in the Permian, we had roughly 5 million tariff barrels or barrel capacity, 2 in gathering, 2 an intra-basin, 1 in long haul. And we've built that out over the last number of years.  So, when you think about operating leverage that we have in the Permian specifically, there's a significant amount of operating leverage that we do have that we'd be able to take advantage of. We're kind of in efficiency mode now. We're trying to consolidate, save power, drag reducing agent balancing, all those kinds of things. But if there are barrels that need to be moved, that's one of the reasons we've made the strong statement about. We have a very flexible system with a lot of optionality that gives us the opportunity to work with either shippers, partners to be able to optimize.
Jeremy Goebel: Ujjwal, this is Jeremy. Just to put a bow on that. I think what you're hearing Willie say is that the reduced capital doesn't impact our capacity in any way. And so this is -- we're able to use the flexibility and commercial structure of our business to get to the same result for our customers without spending any capital. So, this is pure optimization.
Ujjwal Pradhan: And a follow-up on the federal lands issue. Could you share any comments based on your conversations with producer customers on this issue, if you have them? Have they already started thinking about adjusting their activity, given the evolving opposition to federal lands drilling here?
Jeremy Goebel: Ujjwal, this is Jeremy. What I would tell you is everyone is waiting to understand the rules of engagement, it's premature to discuss that. I think the discussions with the producers largely, and for -- you have to look at it, a connection that's going to be made in November, we are -- we've already been working that and have right-of-way. So, I think very little impact to this year's plan. Is it likely that some of the locations end up drilling permits behind existing pads with existing right-of-way? Yes, I think you'll see some of that. But by and large, the discussions somewhat everyone is in a wait and see what the rules of engagement before things that are impacted. But a lot of the impacts now are things that are impacting the fourth quarter of this year and next year. So, I think it's -- while everybody wants to know the answer today, I don't think anyone knows the complete rules. And once they do, then we'll report back on what that impact looks like.
Willie Chiang: And I think we're still in that transition. We've got people just getting into appointed positions. And there's a lot of discussion on the producer side that calls on their positions with permitting backlogs. I think I would just leave it at that at this point. And frankly, it's another reason why we have our measured approach as we think about our fee-based numbers for 2021.
Operator: And we'll move next to Gabe Moreen with Mizuho.
Gabriel Moreen: Two quick ones. Can you just remind me to what extent the Capline reversal economics and contractual backing is contingent at all or not at all on the Line 3 expansion coming into service?
Willie Chiang: Jeremy?
Jeremy Goebel: Gabe, this is Jeremy. It's not contingent upon the Line 3 expansion.
Gabriel Moreen: And then maybe just a question on ESG since it sounds like you're putting out a report later this year. Have you -- to what extent are you or you not maybe evaluating some, I would assume, smaller investments like renewables to potentially power some of your pipelines and things like that? I'm just curious if that's something that's on plan and in agenda at the moment?
Willie Chiang: Yes, Gabe, this is Willie. Maybe Chris Chandler can chime in on some of the specifics. But we are looking at a lot of different things around ESG and sustainability, right? I always talk about, first and foremost, you got to run a reliable business. And so I really laud our organization for making the continuous improvements on safety and on the environmental release side. But as far as being able to move different products, it's going to be -- that's going to be a longer decision process or development process. And when we think about buying renewable fuel, renewable power, that's certainly a piece of it, but the economics have to work for us. Chris?
Chris Chandler: Yes, this is Chris Chandler. I'll just note that we've evaluated a number of opportunities to purchase renewable power under long-term contracts or help underwrite or support facilities behind our meters like solar wind and battery. To-date, they haven't met our investment thresholds. But I will say they are getting more competitive as time goes on. So there's a potential to make some of those investments out in the future. The other thing I'll note that efficiency goes along perfectly with the goals of reducing emissions and having a lower carbon footprint. So we are always working on efficiency for that reason and for the cost benefits of doing that. So whether that's reducing the number of generators we use and hooking up to permanent utility power, optimizing our pipelines with drag-reducing agent or how many pump stations we operate or the use of variable frequency drives or what pressure we operate at or whether we operate at full flow for 10 hours or half flow for 20 hours, we're doing all those things all the time. And those have all contributed to a portion of the cost reduction we've been able to achieve. So we're looking at that each and every day.
Willie Chiang: And Gabe, I think you'll see more about this in our report that we'll put out later this year on kind of our strategy. It's really putting our arms around Scope 1, Scope 2 emissions, trying to quantify that and also be able to -- you have to have good data before you can make commitments. So we're definitely committed to working through that process, and I would ask you to be patient with us until we share later this year.
Operator: We'll move next to Spiro Dounis with Credit Suisse.
Spiro Dounis: Well, Willie, you mentioned optimizing assets late last year. You did an asset swap of sorts, and that was fairly well received. Curious how you're thinking about that opportunity set to do similar transactions this year? And are there any specific assets that you've identified, I guess, yet that could make sense to do something similar?
Willie Chiang: We've got a lot identified that we won't share publicly yet because we're working on it. I can assure you that it is -- I talked about it quite a bit because that really is the mode that we've got to get into, it's rationalization. In my prepared comments, I talked about that reset. There's a lot of spare capacity in there. And so we are continuing to work with potential partners on how do you develop something where you can get a little rationalization and get more capital efficiency in there. So more to come on that. I just can't give you a time frame.
Spiro Dounis: No, totally fine. Follow-up to some of the comments made earlier around marrying some of what you said around the 1Q guidance and then Jeremy's comments about ending the year, kind of strong and setting up for a good 2022. And I guess, if you look at the 1Q guidance, you talked about a 23% sort of full year weighting. You guys have also said that sales are going to be back-half weighted. And so I guess the simple way I thought about it is I would have thought the first part of the year would have been maybe a higher percentage of EBITDA because asset sales within the   You just mentioned that the type of current volume seems to be setting up for a stronger 2022. So are you guys contemplating a strong end of the year? And is there an exit rate on volumes that you could share?
Willie Chiang: The only number I'll share with you is we did talk about the Permian, and it's possibly 100 to 200 higher than the beginning, Jeremy, depending on a lot of different things. But that's really a key driver of the -- of course, the Permian volumes that we might see.
Jeremy Goebel: And also as we talked about the higher inventories in Canada on the NGL side, you're going to have more sales weighted. The profile of sales for the NGL business will be different this year than historically. We entered the year with more inventory. There's higher inventories now. We have more inventories to sell. And the cold weather is just occurring now, it may push some of the sales into the latter part of the year. So I think a lot of this is just sculpting of the NGL sales out of fourth quarter this year, first quarter of -- fourth quarter of last year, first quarter of this year into subsequent periods.
Al Swanson: The only thing I would add to that, too, is we do -- we are assuming that our Transportation segment, while the Permian is growing -- it is growing. It's not growing as much as it did in prior years. We do expect to see the Transportation segment have quarter-over-quarter kind of growth this year. Most of our asset sales are anticipated in our Facilities segment.
Jeremy Goebel: And one last thing, this is Jeremy, is the Wink to Webster project starts in the latter part of the year as well. So when that starts contributing, that's really just -- and while the pipeline has started up, you have some interim service now, but the real commitments don't start until the latter part of the year.
Operator: We'll move next to Tristan Richardson with Truist Securities.
Tristan Richardson: I appreciate all the comments in helping us understand the guide. I guess I'm just thinking about the price signal the producers are seeing today. You mentioned your customers are reticent to change plans. But can you talk about what you're hearing from customers around what conditions we would need to see for producers to come out of maintenance mode?
Jeremy Goebel: Yes. This is Jeremy. I think I tried to articulate it earlier. I think what you're -- to some respect, the current prices are popped up by available production that's off the market by OPEC in meaningful numbers. So the struggle is, if the U.S. producer base goes and adds a bunch of rigs and commits to a bunch of additional production and whether demand is delayed, demand recovery is delayed or OPEC pushes barrels back on, that could change the balances again. So I think part of this is waiting for demand to recover, which could be -- I think we showed some slides earlier in the year that shows the forecast, which is ramps between now and the end of 2022, with roughly half of it returning this year. It's going to be how to bring production back online. So I think there's just -- people don't want to get out in front of that. And candidly, for them to kill their balance sheets during this period is not a bad inning, right? So there may be more activity once -- go ahead.
Tristan Richardson: And then I guess the follow-up, a lot of questions on asset sales, maybe just at the risk of one more. Can you talk about the identification process of asset sales? I think we really think of 2017 and '18 as the time period where you tackled some really large low-hanging fruit. Can you talk about the most important criteria in identification process today?
Jeremy Goebel: Sure. This is Jeremy again. I think the way you look at it is our business works really well when our pipeline facilities and marketing groups all work together on an integrated platform, things that don't fit within that context or usually things that whether we're strong in one or the other, but we really don't have a market-leading type presence. So things there or our cash flows that are more difficult to manage, those are things that -- or they have operating risk or high maintenance capital, things like that, that have different risk profiles. Let's say, all of those are things that are candidates for sale. So you'd see a lot of the smaller NGL facilities around the United States we've been selling as we moved out to that downstream type market. That's a strategic exit from those, so you've seen packets of those sales. So I think the important thing is from an investment community, a lot of things you really don't know that we own or operate, we're exiting some of those positions. Some of you've seen like BridgeTex that we have, but a lot of the assets, you probably couldn't name. It's just those things where it's not something where our 3 business segments all are aligned on optimizing value and being in a leading position.
Willie Chiang: Well, historically, we've also sold interest in assets where the counterparty has brought value. So that when you look at an NPV basis, it is actually an NPV accretive to us to sell down a portion of our interest and sort of partner with a counterparty that adds value to the asset.
Operator: That does conclude our question-and-answer session at this time. I'll turn the conference back over to our speakers for any final or additional comments.
Willie Chiang: Thanks. This is Willie. I just wanted to make a couple of comments here at the end. We've got a lot of great questions from folks, and I just want to kind of reiterate kind of where I see things going here. There are some green shoots out there. Hopefully, we'd characterize that there still is uncertainty out there. We talked about our measured approach and how we're looking on to volumes. But I think what you should take away from this call is, clearly, the focus is on efficiency mode and driving all the optimization from an operating standpoint, a portfolio standpoint, we're trying to make ourselves as strong as we can as well as efficient. We're ultimately in a commodity business, low cost, reliable supplier partner usually wins in that. So that's what you hear about on the optimization side.  We've shared a lot on the financial strategy. Again, it's maximizing free cash flow. We've gotten ourselves to a position where we're going to be generating meaningful free cash flow going forward, excluding asset sales. And with asset sales, it gives us a little opportunity to jump-start some additional deleveraging. And so it's really the balanced approach to deleveraging and getting value back to shareholders and unitholders that we really think we're on the right path going forward. We're cautiously optimistic about the future. Again, oil prices are pretty sturdy. But I can tell you, one sure thing that happens, sometimes if -- we've always heard the comment about prices, fixed prices. And I think what the North American sector is doing is being very careful not to over-respond, which would create additional problems. So I think the whole industry right now is really -- it's moving forward, but I think it's still some questionable times as we get through global demand coming back and really getting arms around the vaccine and getting control of COVID. So with that, I'll stop and thank all of you again for your patience this afternoon, and we look forward to chatting with you as we do on an interim basis between calls. Thank you very much.
Roy Lamoreaux: Thank you Tilara. I appreciate you hosting today, and thank you, each of our investors and analysts for joining. This will end our call today. Thank you.
Operator: You are very welcome. That does conclude our conference call, everyone. Thank you for your participation. You may now disconnect.